Operator: Good morning, and thank you for holding. At this time, we would like to welcome everyone to CSN's earnings conference for the second quarter of 2025. Today, we have with us the company's executive officers. We would like to inform you that this event is being recorded. [Operator Instructions] We have simultaneous webcast that may be accessed at ri.csn.com.br, where the presentation is also available. The replay of the event will be available after closing. Before proceeding, we would like to state that some of the forward-looking statements made herein are mere expectations or trends based on current assumptions and opinions of the company's management. Future results, performance and events may differ materially from those expressed herein, which do not constitute projections. In fact, actual results, performance or events may differ materially from those expressed or implied by forward-looking statements due to several factors such as general and economic conditions in Brazil and other countries, interest rates and exchange rate levels or prepayment of debt pegged in foreign currencies, protectionist measures in the U.S., Brazil and other countries, changes in laws and regulations and general competitive factors at a national and international level. We will now turn the conference over to Mr. Marco Rabello, who will begin the company presentation. You may proceed, Mr. Rabello.
Antonio Marco Campos Rabello: Good morning, everybody. It is very satisfying to present the results of CSN for the second quarter 2024. We begin on Page 2, where we show you the highlights for the quarter, showing our strong resiliency. The company had an EBITDA growth in all segments, except for mining impacted exclusively by a drop in the iron ore prices. This performance shows the excellent management of cost and expenses and diversification of investments with synergy and a very assertive commercial strategy. We have had significant increases in competition with imported material. And of course, we have the reflection of the tariffs increased by the United States. CSN reached an EBITDA of BRL 2.6 million (sic) [ BRL 2.6 billion ] with a margin of 23.5%, an expansion of 5% and 1.4 percentage points vis-a-vis the first quarter '25. Additionally, we're moving ahead in our deleveraging with a very active management of cash and reducing the gross debt. Only this quarter, the company reduced gross debt by BRL 5.7 billion, even with the incorporation of new assets like Tora, taking leverage below 7 points vis-a-vis last year, making CSN ever closer to its goals for the year. We go for the highlights of mining company had volumes that were the second highest sales in history, which shows not only that even in the dry period, we had enormous operational excellence throughout the last few months in the mine and throughout the logistic chain. Now this increase in production and the diversification of fixed costs had an impact on cash, reaching less than $21 per ton this quarter, putting CSN in a very important position vis-a-vis world mining companies. Despite the improvement in volume, the EBITDA of mining dropped because of a correction of iron ore prices during the quarter. We go on to steel, and we're very proud to show you the performance for this quarter. Perhaps this was one of the most difficult periods in terms of competition in the last few years with a flood of imported material coming into Brazil. Despite this, we had a very conservative position prioritizing value over volume. We want to offer a higher return for the operation. This was a very assertive strategy contrary to the local producers that went into that war of prices and volumes, we were able to present a very strong performance, 4.5% higher prices vis-a-vis the second quarter '24 and a stronger cost control during the period allowed us to have a cost control result in a 79% increase year-on-year for EBITDA, and we reached 10.8% margin for the quarter. If we look at cement, we can observe that the favorable seasonality in the period points to the incredible resiliency with growing volumes in new launches with a quarterly growth of 8% in our sales volume. If we follow this dynamic, we also had a favorable reaction in prices with an expansion of 10% net revenue vis-a-vis the first quarter '25. Now this situation offset the cost pressure in raw material, allowing us a 2.3 percentage point increase in profitability with an EBITDA margin for cement of 24% for the period. Finally, and not less important, at the bottom of the slide, we have 2 great achievements for our business in logistics a new EBITDA record because of 2 factors: a very strong performance in the rail model. And of course, we have incorporated the Tora numbers, a recent acquisition. Now the EBITDA reached BRL 519 million in the first quarter with an EBITDA margin of 41.4% (sic) [ 44.1% ]. In terms of energy, the results were extraordinary because of the increase of prices in the period with an EBITDA fivefold higher than in the same period 2024. Now let's go on to the next slide, where we show you our EBITDA margins and EBITDA for the second quarter. There's a quarterly increase of 5% for the period and a drop of EBITDA in mining offset with a sound growth in all of the other segments of the group. Once again, it's important to have a diversified operation, granting us greater resiliency and withstanding the pressures in some markets. As a result, the adjusted margin reached 23.5% for the second quarter, an increase of 1.4 percentage points for the quarter. On the next slide, we show you our investment activities for the period. You can see a growth of 18.2% in CapEx vis-a-vis the previous quarter because of the seasonality of the period and the advance of the P15 infrastructure for the mining sector. Compared to the same period in 2024, CapEx remained stable with advances in mining offsetting the lower investment in the steel industry. This shows you a higher concentration since 2025 in expansion and productivity, offset with the reductions that we have in some areas. Let's go on to Slide #5, where we show you our net working capital. There has been an increase of 25% in the quarter vis-a-vis the first -- the same quarter last year, and we're trying to offset accounts receivable drop. On the following slide, we show you the adjusted cash flow that was negative by BRL 1.4 million, BRL 1.73 million previously. Despite the growth during the period, this shows an increase in the volume of investments to accelerate expansion projects and the negative impact of financial expenses, especially the impact of the blast furnaces. Additionally, the higher consumption of working capital also had a pressure on the cash flow for the period. In the next slide, we show you the net debt and leverage for the company and the debt during the quarter. In the graph to the left, the message is the new reduction of leverage that we have during the period, going from 3.33x in the first quarter to 3.24x this quarter. The company has been able to ally an efficient cash management with sound results, maximizing volumes with a cost control and of course, an increase in efficiency. This is a continuous effort of the management during this year, reducing its gross debt. Only in this quarter, we had the reduction of BRL 2.1 billion for the quarter. For the year, it is BRL 5.7 billion less. Now the company will comply with its guidance projected for the end of the year. And of course, this despite the moments of uncertainty and the lack of forecastability, but we continue on reducing our debt. We're working with recycling capital in the group as an alternative to liquidity and for our cash. The main project presently is that of CSN infrastructure, which is in its concluding stages. It will lead our negotiations until we have a more formal response at the end of the year. When we consider the debt of CEEE our debt will drop to 3.2x. And this will represent a reduction of 29 basis points for the period. We now go on to Slide #8 with our indebtedness profile. You can see that we're still in a rather comfortable position with our short- and medium-term obligations. We have sufficient money to comply with our commitments for the next 3 years. We also have a very active management in terms of lengthening the debt, extending the amortization term, focusing on long-term operations and the local capital market. We have begun bilateral contracts, primarily concentrating on amortization flows between 2027 and 2030. With this, we can go on to Slide #10, where we show you the highlights of the steel segment. In this first slide, you see the results of our commercial activity with a reduction of 11.5% in the sales or 10% when compared to the first quarter of '25. This is because of the strategy adopted during the period of prioritizing results and margins over volume. The market has intense competition and literally a flooding of imported material. We did not enter the price war. We have lost a bit of market share, but we see that the market is being highly pressured. And in a consistent way, there is no adequate protection to guarantee a good protection. In the foreign market, it was somewhat lower due to seasonality and the impact of tariff disputes on foreign trade and antidumping measures throughout the world. When we look at the following slide, steel production, we see that the drop in production is due to the maintenance shutdown of blast furnace 2. It begins to show the positive results for the cost of slab and performance per ton. To the right, we can see that the cost of production dropped during the quarter, while the reforms per ton create a performance, which is almost double than what we saw in the last quarter. This efficiency can only be shown after we improved the operations of our steel product. Now let's go on to the financial performance of the steel mill, and we see a different anatomy in our results because of the strategy. We have revenues dropping because of the lower volumes sold, but offset with an improvement of prices during the period. We have a sound recovery of EBITDA, 79% (sic) [ 7.9% ] higher than the same period in 2024 and with an EBITDA margin of 2 digits, reaching 10.8%. This increase in profitability is because of the strategy followed by the company, avoiding the prices and focusing on products with a higher profitability. All of this is even more impressive when we consider what is happening in the market, the flooding of imported material and the measures implemented by other countries, especially the United States. In this context, CSN has been able to deliver stronger EBITDA in 2025, and steel is an important vector of growth for this year. We now go on to the mining segment. On Slide 14, you see the results of production and sales for the last quarter. There are 2 extraordinary results here, a record of production, the highest volume produced in the history of the company, but we also have the operational efficiency that the company has been able to achieve in the last few months in the mine and in the chain of logistics. This is the second highest volume of sales in our history with 11.8 million tons sold, reflecting the operations that are excellent and the level of efficiency reaching very close to its capacity limits. Regarding the financial performance on Slide 15, even with the operational efficiency that we saw in the previous slide, we are charging $10 less than what we had in the previous quarter. Well, the price of iron ore has dropped during the quarter. In the case of EBITDA, the situation was not different with a strong volume of sales, the EBITDA in mining had a drop of 36% vis-a-vis the first quarter of '25. This related to a drop in the price of iron ore because of the demand in China and the strong impact of the tariff disputes in the United States. In the following slide, we have the EBITDA reconciliation with the previous quarter. We can see that the decline in EBITDA occurs despite the increase in volume, improvement in mix and cost reduction due to a drop in prices. Let's go on to analyze cement on Slide 18, we have the sales volume for the quarter. Once again, we see a very dynamic segment despite the interest rate with the program, My House, My Life (sic) [ My Home, My Life ] and because of the robust volume of launches, keeping up the consumption of cement. We have been able to make the most of our logistics network to capture new markets. We had a growth of 8% in the sales. That is proof of this trend. When we compare this with the same period of last year, there's a minor drop of 4% on a very strong comparison base. On the following slide, we have the financial performance of the segment. This year, we have a quarterly increase in net revenue and EBITDA. This result was [indiscernible] because of the positive seasonality in the period. We had drier weather, and we also had a sound launch activity. EBITDA an increase of 21% showing that although the circumstances surrounding us are very difficult, especially because of the interest rates, the sector continues to show strong new launch activity and a robust profitability. Finally, we will go on to our logistics segment. And the main highlight is the incorporation of Tora. We have done this to strengthen our logistics sector and to enhance the synergy with the other businesses of the group. Nowadays, Tora has 75 branch offices, 7 enterprises, 5 multimodal terminals and 3 owned and third-party vehicles and a dry port. The company invoiced BRL 319 million with an EBITDA of BRL 86 million and a very interesting margin of 27%. We go on to Slide 22 with the financial performance of all of our logistics assets. During the quarter, we had an extraordinary performance with a record in results, attaining higher levels of efficiency in the cargo handling and shipments. We had an evolution in net revenue, and we attained BRL 519 million for EBITDA and an EBITDA margin of 44.1%. Well, the drop in EBITDA is due exclusively to the acquisition of Tora. This model, rail model, of course, has one that is somewhat lower than railroad in general. Now with this, I would like to end the presentation for the segment, and I give the floor to Helena Guerra to speak about ESG highlights.
Helena Guerra: Good morning, everybody. Well, the results of the last quarter continue to show the strides in our ESG journey. In terms of occupational health and safety, we have consistency. They are 30% lower than the results we had a few years ago in 2020. We are now in another level. We continue to present a lower number of high potential severity events, which has been the focus of our actions in 2025. In the environmental agenda, we have very positive indicators. We have a reduction in water intensity in steel production and in our decarbonization journey. We had a slight increase in the emissions from the steel plant because of the increase in volumes, but we reached a reduction of 11% in GHG emissions compared to the baseline year 2020 and 3% of GHG emissions compared to the baseline year 2020. Now we want to cost difference and projects that will increase our operational efficiency. All of our tailing dams are stable and decharacterization in line with the project we have set forth. In the social and DEI agenda, we have made steps. We have more than 520 women that have been added when compared to 2024. This is an increase of almost 80% of female representation since we began this goal in 2020, we also have a 5% increase in the number of women in leadership. We have received the Hugo Werneck award for environmental and sustainability and we're working with Garoto Cidadão project that for 25 years has been changing the life of youngsters. And finally, we have a protocol reinforcing the quality and transparency of our information. The permanence of the company in FTSE4Good, we're also part of FTSE Russell because we have consistent practices and a constant evolution when it comes to social and governance indicators.
Antonio Marco Campos Rabello: Thank you, Helena. I will now give the floor to our Chairman, Benjamin Steinbruch.
Benjamin Steinbruch: Good morning, everybody. Once again, the presentation of results of CSN, I would like to mention some points specifically that were conveyed and presented by Marco. First of all, I would like to underscore the operational results that we have been able to achieve in all of our activities, the improvement of industrial performance, a reduction of costs and an enhancement in productivity. This, of course, is our #1 priority at present. We had already presented good results in mining as well as in cement from the viewpoint of cost and productivity. And we have had significant evolution in steel, in the steel mill, as we have been mentioning through time. And we now see the results of this. We're working with less equipment. We're attempting to increase production and of course, to improve our costs. This is our main priority at present. And we are undergoing evolution in terms of the steel mill and the results have begun to appear from the viewpoint of all of our other activities. We have had very good performance. And of course, we have had challenges because of the imported products. In the case of the steel mill, everything is coming in, in a highly disorganized and exaggerated fashion. We are the only country that has allowed this literal flood of imported products. And this has a negative impact on the market, of course, as we're offering them our domestic demand, domestic demand for imported products. And this has completely disorganized the sector. The import levels are much higher than the CSN production per se and brings about a hostile environment, a disorganized and aggressive environment which hampers -- overly hampers everything that is produced in Brazil. Now that issue of imported products, something we have been fighting against. We have been negotiating to the government with. And although our conversations are heard by the Ministry of Industry and Development, we have not made any strides. We have been involved in this conversation for quite some time without any concrete measure being taken. Now we're waiting for the manifestation of the Brazilian government. All other countries have set forth protectionist measures. Now without mentioning the U.S. to export there, we would have a tariff increase of 50%, which makes any attempt or idea to export there unfeasible for the moment. I hope that at some point in time, these measures will come because the sector is suffering much -- too much because of imported products. Cement has had a good performance, good growth and good demand. We have significant internal competitiveness among the producers of Brazil. The market is there. Our price is half of the foreign price for local cement producers. But -- this has been going on for some time and will undergo adjustments. In the case of mining, we had exceptional performance. We had a drop in the Platts. Of course, we are competitive. We have a low cost, and we do believe that this market will end up at $100, $110 as part of a technical outlook for the price of Platts. But I do think better results will come. As for the rest, we have a very stringent strategy when it comes to our cash. We're adopting all possible measures to be able to work with a lower working capital, and we have obtained results in this field. Our deleveraging commitment is ongoing. We're going to work very strongly to comply with our commitments. And we do expect an improvement in the market as everything has been set up, is operational. The strategy is the right one. And we hope that with the price improvement in the market at some point in time, there will be a reaction. And -- we will see this in our numbers. The company as a whole is deploying enormous efforts to produce well at a lower cost and to make the most of the strategy and the market potential. We're working in all segments. We're working in niches and diversification of products. We're doing everything within our reach to get to the market with very good offers with good products with high quality. And within what is in our hands, we're doing everything. Now progressively, we have had an improvement quarter-on-quarter, and we continue to believe that the coming quarter will be even better than the second quarter of this year. I would like to thank all of you once again for your attendance in the earnings call, and our team is at your entire disposal for questions and answers. Thank you.
Operator: [Operator Instructions] The first question is from Mr. Yuri Pereira from Santander Bank.
Yuri Pereira: If possible, I would like to have more details on your eventual partner in infrastructure. How much could you reduce your leverage because of this and your sale of stake in Usiminas, will you reduce your stake to 0? Or will you comply with the CADE antitrust company of 5%.
Unidentified Company Representative: Yuri, thank you very much. Thank you for the question. Regarding the first question about infrastructure. I'm sorry, I was looking at the second question. We have 2 different compositions. We have 7 logistics assets in logistics and infrastructure, 2 of which are in the final stage of construction, the Transnordestina. And I take advantage to tell you that they are hiring the last 2 stretches of construction. They will be completely concluded in 2027. In 70 days, these pieces of construction will be concluded. The entire part is available to conclude construction. There are no problems with licensing, no bottlenecks. So until 2027, they will begin commercial production. And in 2025, they will begin working with commissioning. So we have 7 assets, 2 under construction and the discussion with the potential partner will depend on the profile they want for their assets, 2 under construction, 3 in the Southeast, 3 in the Northeast and 1 with an expansion in a somewhat larger region that we have just communicated. Depending on the logistic combination, those that have greater adherence or greater appetite with -- well, the investments, both primary and secondary and the company could vary. We are hoping for a we have a stake of 20% to 40% that could be sold in this operation. Now if we don't take into account the assets that are under construction or if we don't consider the Northeast cluster, we could reach BRL 8 billion in terms of liquidity injection and reduction of leverage in the group in this first phase with the assets of only the Southeast. Regarding the second question of Usiminas, so far, we have not defined the next step when it comes to selling off our stake of how much will be sold and in which fashion this stake will be sold. Marco, simply to complement this, regarding the infrastructure, as Marco mentioned, we have 2 packages, 2 under construction, 5 assets under operation that are quite equivalent. As Marco said, they represent BRL 8 billion. This is what we have calculated theoretically based on a value of BRL 25 billion. These 5 assets represent this amount. We also have similar amounts when it comes to the Transnordestina and [indiscernible] at the [indiscernible] port. We have 1,000 kilometers that have been concluded. They're open for traffic. And you can calculate per kilometer, 20 million very broadly, of course. And coincidentally, these packages are more or less equivalent. What we are discussing now is to see if we will offer simultaneous treatment to both of these or if we're going to prioritize the Southeast first and then the Northeast. Everything will depend on our conversations with interested parties. And for this, we are considering the choice of who will be our advisers. We're in the final stages of this, and we will begin our negotiations immediately. This is simply to complement the answer to your question of what we have in our infrastructure package for CSN.
Operator: Our next question comes from Ricardo Monegaglia from Safra.
Ricardo A. Monegaglia Neto: We have 2 at our end. Well, in terms of competition, I would like to understand if that recent decision of dumping in pipes has allowed for new dumping coated products and hot-rolled products. Now I was expecting weaker results in terms of margin. So it would be interesting to hear about the trend for following quarters, perhaps a margin expansion.
Unidentified Company Representative: Martinez, perhaps you could speak about volumes, prices and costs. Thank you very much.
Luis Fernando Barbosa Martinez: Ricardo, I will begin with the first question. In truth, as Benjamin mentioned, presently, Brazil is facing an issue of imports, something that is quite chaotic and that is leading to a market that is completely different from the one we had in previous years. We have insistently discussed this with the market face-to-face meetings with the Ministry of Development and Industry. What we clearly perceive is that if the technical issue would prevail, we would have already had to have applied all of the processes for a commercial defense. What we opted to do was to work on the antidumping, as you mentioned yourself. Ricardo, in all of them, we saw dumping a causal nexus. And this has, of course, changed the nomenclature that is being used at the World Trade Association. Simply to give you an idea, metal sheet, we began the process in October of 2023. So far, there is no provisional right enforced. Quite the contrary, they have postponed the decision month after month. And this is also the truth for cold rolling for coated products and much more. We expect the government to become more serious to be faster and to base itself on a technical response. There are margins varying from 25% to 75%. From the commercial viewpoint, a technical viewpoint, it doesn't make sense for Brazil not to apply these antidumping rules. We continue to insist. The process is much slower than we had expected, but there is time to recover all this and obtain an enforcement or implementation of rules. Another important point referring to commercial defense, the issue of quotas, one more time, the company worked with the first thing, but with a wrong intensity. So we are still on that track with the wrong dose. Now there was 75% from U.S.A. We're working on 7.3%. If we had applied 73%, we would have an import penetration that is not difficult to deal with in the domestic market. We're now speaking of 28% of penetration of imported products as a whole. Now when we think about CSN, the situation is more dire. We're speaking of penetration of 40% to 50% of tinplate and prepainted galva, 70% import penetration. So this is a scenario we are facing at present. The issue of antidumping, we continue to imagine that the government will approve a process for this in the coming 2 months. Antidumping and template, coated galvanized and coated products. Now we're also working with the -- basically with a priority on these other products. Now regarding the margins, we have sound results in the steel mill. What we have prioritized, and this was mentioned here is value over volume. We have worked with product diversification with a focus on the higher added value products. We have prioritized all of the galvanized prepainted products in our product mix. And in terms of cost, of course, we had a positive evolution, allowing CSN to have margins of around 11% for EBITDA margin despite the highly challenging scenario regarding imports and competitiveness with other competitors in the domestic market. What is positive about Brazil, and I'm very optimistic with Brazil when it comes to demand is that this year, we will probably reach a steel production for flat steel, slab higher than in 2018, 2019. That was our record year for flat steel. Sorry, I'm referring to the year 2013. We should reach 16 million tons approximately. So there is demand in Brazil. The problem is that it is very difficult to capture margins. And the question of what we foresee for the third quarter, as Benjamin mentioned, we're going to continue to work on operational excellence costs. We're looking at each value chain. Separately, the imports will have to be combated in a timely fashion. We can't cut down prices and everything. And additionally to that, with a reduction in the cost of raw material, the cost of slab, should have less than the 13,300 that were presented. And in price, I see a situation of stability. If -- what is happening in China truly happens, the cost of PQ increased 5% with an improvement of production because of the premium that we have presently between 5% and 10%, perhaps we could also have a price recovery in the third quarter. We have to be careful not to hand over the Brazilian market to foreigners. This is the concern of Brazil. Brazil has demand. It has markets upstream, the white home products. So we have a very good market, but we need to recover our profitability, recover margins and not hand over our market to foreigners. And this is what we have been doing in terms of slabs.
Operator: Our next question comes from Marcelo Arazi from BTG Pactual.
Marcelo Arazi: Two questions at our end. First, a follow-up in terms of the steel. You spoke of a positive evolution in cost efficiency gains. Could you give us some details on the measures you are adopting to manage that enhancement and how this will evolve going forward? The second question, a provocation speaking about cash generation. Your cash flow is under pressure. Do you have any visibility or idea on the CapEx flexibility we could observe until the end of the year? And if you will have another sale of assets without it being part of the infrastructure, something more in the short term to gain relief in your cash flow.
Unidentified Company Representative: Thank you for the questions, Marcelo. Well, regarding the steel mill, we have shut down the blast furnace on January 19 of this year. Now this made feasible one of the first actions to work with coke and others in the blast furnace 3. We have changed our load using a ritual iron ore for the blast furnace 3. We also had significant evolution based on investments that were made last year for the production of our own sintering. And all of these enhancements on blast furnace 3 are leading to excellent performance in efficiency and also from the viewpoint of cost. We saw a cost evolution in our own brand in the last quarters. And the second quarter of this year will be the first quarter where we have the blast furnace 3 fully using these new loads that we referred to. And with this, we will have a change in the iron ore. So the projection that we have of a reduction of cost in slab for the third and fourth quarters of this year are even more important than what we have seen so far without giving you the figures. So we have a very good expectation in the reduction of cost of our own slab going forward. Now this is about the performance of the steel mill as a whole. We have several other projects that will be implemented, leading the steel mill to profitability levels of other areas well above the 2 digits, much more than we reached in the second quarter of 2025. Now regarding CapEx flexibility, the CapEx for this year is between BRL 0 and BRL 6 billion. The focus of the company is in the low range of the CapEx closer to the BRL 5 billion. Now to change that CapEx significantly will not be beneficial for the company. Most of it is geared to expansion projects and an increase in productivity. These projects were done in the steel mill and for some quarters, they're showing us the benefits of these projects. We have to put them in place. And the P15, once it will be ready in 2027, this will generate another BRL 4.4 billion in EBITDA. So this is a project we have to speed up. We cannot hold it back. Now with this BRL 5 billion, it has undergone a very important exercise, a daily exercise in the company. In terms of monetizing our assets, besides infrastructure, we're holding a discussion with the market. We're speaking about energy, bringing in a partner for that segment. It's not of the magnitude of infrastructure, but it will also help us. And we have additional initiatives in a phase of approval. And I hope that in the next earnings call or before, we will be able to mention them. But we are working on other initiatives. We're waiting for internal approvals to inform the market regarding this.
Unidentified Company Representative: Simply to add to this in the first question, you asked if there would be faster options, more expeditious options that we can propose in terms of deleveraging. All of the options mentioned by Marco, all alternatives for deleveraging. They're all for the short term, including that of infrastructure. We're hiring our advisers at present, and our idea is to move forward at a fast pace. Of course, everything will depend on the market opportunities, but the interest in infrastructure is quite different from all of the rest. There is a demand for investment in infrastructure projects in Brazil, especially in railroads and ports. And alongside this, we are also holding some conversations. This simply to point to the fact that all of this will be for the short term. We have structured ourselves to work very expeditiously in this option as well as in other options mentioned by Marcos to attain the fastest results towards deleveraging.
Operator: The next question is from Marcio Farid from Goldman Sachs.
Marcio Farid Filho: A follow-up for steel. Martinez, you spoke at length about the market. If you could speak about long steel, there was a price recently, and I believe that the increase was aggressive without speaking of imports, the long steel and which have been your conversations with the government? Benjamin mentioned that at the beginning of the conversation that despite all of the efforts, all of the measures adopted have been insufficient. So thinking about the future with this discussion of tariffs and the coming closer of the government with China, which is your mindset to think of a more protective measure for the sector? My second point, and do forgive me for insisting on this. You spoke about the sale of a stake to Usiminas. Benjamin, I would like to understand if there will be a more aggressive movement towards the sale of assets. The surprise was not only because of the timing, but because of the price at which the shares were sold to what's the market. There wasn't much choice. Now simply to understand if there has been a change of mindset to do something more aggressive in the coming quarters and years to clean out your balance. That is it.
Luis Fernando Barbosa Martinez: Marcio, this is Martinez. In long steel, long steel was better than slab lack of coordination of the Brazilian segment. Everything that was done so far hasn't brought about an inch more of a new market or growth in the Brazilian market. So everything was unnecessary. To give you an idea, our sale of long steel in the second quarter fell 12% because the prices reached a level with a base price for long steel cash payment without taxes at BRL 300 -- BRL 3,400. This is an extremely low cost, and we have preferred to remain outside of this market and work in other markets. In the long steel market, we're going to increase the price on the first -- an increase between 8% and 10% in rebar and others. And this is insufficient, of course, to recover our margins in long steel. But this is what's happening in the sector. We follow up on what the market is doing as long as it is reasonable, and it was not reasonable in the first quarter. And we expect a recovery in long steel in the second quarter and a recovery in profitability. And because of the need to increase the EBITDA margin of the steel mill as a whole. In the specific case of the conversations we are holding with the government, I participated in all of these conversations. What can I underscore? We have a Ministry of Development, Industry and Services that is highly technical. They carry out excellent work in the technical part. They come out with thesis of commercial defense. And as I mentioned previously, all of these without exception, without speaking about damages and causal nexus. What's lacking courage on the part of the government to clearly enforce without thinking about anything connected to politics, the economy of competition, what could be done immediately -- nothing that is very different from the regulations of the World Trade Organization is a provisional cost for all products, tinplate and other galvanized products, something that should be enforced immediately because through time, we see that China besides -- well, it's also facing a commercial defense in other countries of Asia. It exports to Vietnam, to Korea, the European Union and to Brazil, 1.2 million in flat steel. So what we're lacking is courage and that will to take the industry to another level in Brazil. What is more important, Marcio, is that we do have demand in Brazil. We have sectors that are making due regardless of what is happening in terms of politics with the U.S.A. and China. And what we truly need is a quick implementation of measures. We don't want to hand over our market to foreigners, which is what we're doing now, a non-hedge market being handed to players and the largest of these players, of course, is China. Now this is the scenario we will be facing in the coming months. Perhaps in the third quarter, we will have the enforcement of 1 or 2 provisional antidumping rules.
Benjamin Steinbruch: To complement what Marco has said, despite all of the conversations held with the government, warning them about the growing volume of imported products in the steel sector. And despite the positive conversations we have had with the Ministry of Development and Industry and with Vice President Alckmin, we have always been treated very courteously with high-level technical discussions. But as we have mentioned in one of those meetings, what we are lacking is the will of the President of the country. This goes beyond the government. We need to have a clear manifestation of the President, his concern about the industry, what we're doing in the industry, what we're doing for employment in the industry. We're literally being run over by the volume of imported products in a highly chaotic fashion. And we need the action of the President to decrease this imminent risk that we are running of losing employment and the industry itself in general, not only the steel industry, but the industry as a whole because of the strong attacks we are under. And some of the exporters have no cost. They try to make exports feasible. They're not concerned with cost or price. I believe that we need a presidential action signaling how the industry will be treated going forward, what they're going to do with the employment of industry and what they're going to do with investments because we find ourselves in a highly critical moment from the viewpoint of our assets, our sale of assets -- we're always going to proceed in an organized and structured fashion. The goal, of course, is the deleveraging. And it's not worthwhile having great figures. We have good EBITDA. We have a margin even though we have lost significant margin in the last few years. The margin continues to be reasonably good between 25% and 30%. But we do have that commitment towards ourselves to deleverage, and we have several assets to work with. It's not only infrastructure as a whole. That's, of course, our largest package in the Southeast and the Northeast, as I mentioned previously. And Marcos gave you the idea of BRL 8 billion for each package. I am convinced that we have that will, we have the determination and the need to carry out the sales of assets. Notwithstanding this, we have to wait for the right moment with the right partner. We're working strongly on this. This is our highest priority, along with a reduction of cost and enhancement of productivity. Now the issue of deleveraging is our great priority, and we will work with it in an intelligent and rational way and in the shortest period possible.
Operator: Our next question comes from Daniel Sasson from Itaú BBA.
Daniel Sasson: My first question comes from that slowing down of CapEx in -- sorry, the increase of pace in investment because of P15 in mining. What is happening with the milestones that you presented on CSN days and your expectations in terms of expansion? If you could also speak, and I'm referring to Martinez about the cement business. Martinez vis-a-vis our numbers, I think it has become very clear that you have diversified your business. You have diversified the flexibility. Well, we are speaking of cement and logistics. The cement market in Brazil has it recovered from the lows a decade ago, but we're still falling short in terms of the use of capacity and the prices continue to be the lowest in Latin America. If you could discuss with us the main levers to add value to this business.
Antonio Marco Campos Rabello: This is Marco to speak quickly about P15. Now what is still missing is the infrastructure that is proceeding at a very fast pace. We just closed a huge package of civil work that will begin subsequently, everything referring the packages of equipment, the core equipment and main equipment of P15 have already been contracted, some of which are already at the site or at other sites awaiting for their setup. What we're missing are small assembly works, accessory works that will have to be mobilized the second semester of the coming year and therefore, will be contracted in the future. Now the forecast for delivery is the fourth quarter of 2027.
Luis Fernando Barbosa Martinez: Daniel. Thank you for your question regarding cement. You're one of the few that cover this sector, and we love to speak about this new sector. I have Edvaldo beside me. He's responsible for the operational part. I will respond for him because he's somewhat hoarse today. And in the market, I spoke about steel where we have the priority value over volume. In cement, it's value and volume. Based on our platform that is highly competitive because of our operational excellence, logistics, the commercial strategy, the distribution centers and much more. We have reached our maximum potential in the business. We grew 8% in the second quarter vis-a-vis the first quarter. It could have been a better growth, but we had some operational problems in the Northeast. They have been fully redressed in price, a recovery of 2.5% for the second quarter. What you said is important. Brazil has an enormous opportunity to increase prices to recover prices. It does not make sense in a market like Brazil to work with price levels that are lower than those of Latin American markets and China as well. Our efforts in cement will be ever more geared to look for each ton with a higher value using our market coverage, the increase in number of customers and based on the commercial strategy that so far has been quite successful. In terms of operational excellence, we see that raw material for steel have a tendency to go through a drop. In the second half of the year, we hope to be able to see a drop in costs as well, especially for raw material for pet coke. At the end of the third quarter and fourth quarters, we imagine, we will have materials and an inventory with a somewhat higher cost. Now additionally to this, we are maximizing the production of all of our assets of our 13 operations. We continue to increase the fragmentation by setting up new distribution points, distribution centers, reaching an ever more lower ticket. This is our strategy to look for this profitability of 25%. And the Brazilian market is doing well presently. For example, let's talk about the Minha Casa, Minha Vida, My Home, My Life sector. It's doing very well. We have constructions for the higher bracket, the middle class doing very well. And there is some work in infrastructure in the Southeast that are leveraging our volume. So once again, CSN has fantastic assets in cement. We imagine that we will reach a total potential with the synergy that we have Lafarge in the coming 6 months in terms of operations and logistics as well. And Tora transportation that we acquired recently will be an important lever to work on freight transfer and with the end markets for cement. As a whole, to speak about Brazil, what we foresee for the second half of the year is the continuity of this growth in the cement market. And for the coming year, we're working with a very positive scenario, imagining the carryover of works we have in the real estate market as well as in infrastructure. The main challenge, as you mentioned, is to recover margins. CSN has done its part, but faced with very strong competition in the market. We're going to continue fighting but working with the best margin in the sector, which is our goal.
Operator: Our next question comes from Caio Ribeiro from Bank of America.
Caio Burger Ribeiro: My first question is on the evolution with China, which is the mindset of the company on the policy that will have an impact on Brazil and iron ore. Now the second question for mining, there are lower grades of iron ore. How has this impacted your commercial decisions? How are you selling the product in the market? Some players are reducing the sale of this lower-grade iron ore. So how have you adjusted to this present day market moment? That would be very helpful to us.
Unidentified Company Representative: Caio, I'm not sure I understood your first question, if you could repeat it.
Caio Burger Ribeiro: The question is about the policy that China is mentioning about resolving the oversupply problems and in some sectors. And of course, the steel sector is one of the goals. So which is your mindset on the impact on Brazilian steel industry and the iron ore market?
Unidentified Company Representative: I'm going to speak very generally of what is happening in China at present. An important point, Caio, is that we already clearly perceive that the price has had a result. We see the PQ cost increased 5% the last week. Now another interesting piece of information, something that did not happen. The CISA, the Chinese association of steel has been working on the coordination of those industries of all the steel plants in China. Nowadays, in terms of occupation, we have a use of blast furnaces of 87, 89, but only 55% to 60% of these plants have a positive margin. Now obviously, in China, the greatest use is employability. And well, when the problem hits, they try to occupy production further. We're working with a scenario of reduction in production in China in the next 3 to 4 months. And this could have a positive impact for Brazil when it comes to the premium. In Brazil, the premium vis-a-vis Chinese PQ is between 5% and 10%. And if there are $20 or $30 more, which is the price of the Chinese domestic market, the price of PQ in China is $500. Now we can imagine neutrality in premium in Brazil or a price recovery in the country. All of these reductions in production are being better coordinated by the Chinese Association of Steel producers. This is an important piece of information. Now despite this, the exports from China continue at a pace of [ BRL 90 million ] per year. The government has also acted on the environmental issues. They're incentivating modern plants to use cleaner technologies at present, and they could increase the use of the assets that have higher productivity, closing down capacity that has a higher cost. Now the impact for Brazil, in my opinion, speaking honestly, Caio, will be very positive, and that is why I'm positive. This is what we were missing for the steel plants in Brazil. We have a market, we have demand. As Benjamin mentioned, perhaps the presidential decision will be to work with protection or [ economy ] that would be important for Brazil. And finally, in this world scenario, China could help us in terms of profitability in the Brazilian market exporting at different levels. For iron ore, I will give the question to Marco. But in iron ore, you have already observed that we're working at somewhat higher levels. This is an opportunity for the Brazilian market as we will be able to capture based on the price of PQ, a higher profitability for the third quarter.
Antonio Marco Campos Rabello: Caio, regarding the question on iron ore. Now the price of China is strong. The volumes have also hit several records. We have focused ever more on the low-grade iron ore produced in China. They are working -- well, they're working with higher volumes of low-grade iron ore. Now because of quality issues. Last quarter, it was at $14. Presently, it is at $15 and should remain at that level until the coming into operation of P15. This will change the quality of iron ore, and we will have a completely different impact due to loss of quality, of course.
Operator: Our next question comes from [indiscernible] from JPMorgan.
Unidentified Analyst: I simply have some follow-ups on previous questions. I begin with the sale of stake at Usiminas, the sale of assets, the idea of carrying out partnerships in the segment. I think all of this has been made very clear. I'd like to understand more about your sale of stake. This is a moment in which the industry has suffered considerably. We see the industry. We see the shares dropping. I would like to understand if the rationale of that sale of stake was based on a decision of the antitrust agency, the CADE, which was the rationale? The second question, something that has already been discussed, refers to the steel segment. It was the positive highlight of the quarter. We have seen industries with lower margins, but you delivered a very sound margin. The question is that over volume. Now how do you look upon your strategy for the long term? Can you continue following this rationale for much longer? Can you maintain that strategy in the third quarter? What will you do in the long term, however?
Unidentified Company Representative: Thank you for the questions, [ Tatiane ]. First, regarding the sale of stake to from Usiminas, it's not very frequently that we're able to find a buyer that wants a volume of shares from Usiminas as we transacted this week. The liquidity of shares, the common shares and preferred shares is very low. If we carry out a sale of all shares through the stock market, it will take us years to sell all of those shares to the market to find an investor at present is not something that you will find very easily. And clearly, we're following the agreement that we have with the CADE, the antitrust agency.
Benjamin Steinbruch: [ Tatiane ], once again, thank you for your question. It's what you said in the report, CSN among the Brazilian companies, industries is the one that suffers the greater pressure because of the imports. This is doubtless because nowadays, practically 50% of what we do is linked to higher quality products. And well, this is the one that has the highest import rate in Brazil. And in this scenario, CSN, as you mentioned, in the second quarter was the only industry that hiked up its prices. If I take away the long steel for our -- from our balance where the drop of prices was greater, we increased the price 2% to 3% in the second quarter to 2.5%, working with that over volume in the third and fourth quarters. What do I believe will happen? And what will help us maintain our profitability with a 2-digit margin. First of all, the operational excellence, the issue of costs. The endless work in cost optimization of our assets. We're working with 1 blast furnace less despite this, we have complemented production with a regular purchase of [ PQD ] and slab. This is helping us to maintain our cost. Now additionally to this, the cost level of slabs will go from BRL 300 to BRL 3,000 per ton, which offers us a comfortable position. Now still speaking about cost, we have worked broadly in terms of coke and centering to attain the maximum output to buy as little as possible of pellets and coke. And in the commercial pillar, and this means enormous movements. We have never done anything this strong in the last few years. We have worked the most on our strategy of selling more for less, not putting all of our eggs in the same basket. We're selling in all sectors. We have increased the number of customers 50% in this first half of the year, and we're looking at added value, quality and those who truly care about quality. This is something we do day after day. Now in terms of prices, specifically, I'm counting upon a recovery of prices in some markets. Because of that level of equivalence of premium compared to the imported nationalized product. Now to work with those prices in China, we could slowly recover slowly. It's not a strong movement, but we could recover in strategic sectors. And we're going to work ever more on our portfolio, work with prepainted zinc or material, galvanized material. And we're also working with the tinplate market in Brazil, where our margin is much better than in other products. Now the last point, a focus -- a complete focus on the domestic market. That drop that you see in the volume of total shipment is linked to the drop in exports that we had because of the galvanized material in the U.S.A. Finally, I would like to underscore the good performance of our units in Portugal, Germany and the United States, where we have stopped up in material to be able to compete in the second half of the year. The results have been positive and will contribute so that in the third and fourth quarter, we can maintain our 2 digits or perhaps have a slight increase vis-a-vis the second quarter. This is our strategy so far. Now let's speak about the vertical integration we have with the strategic clients and users with our partnerships working hand-in- hand with distribution. This maintains a healthy business vis-a-vis our competitors. Unfortunately, our competitors are working with a strong -- a wrong strategy, taking away value from the market.
Operator: Our next question comes from Gabriel Barra from Citi.
Gabriel Coelho Barra: We have some follow-ups, and I will be quick. I'm sorry to be so insistent, but a very direct question to understand if the sale of stake is because of the antitrust agency, CADE, beyond what you have done, you have to continue doing something simply to have more clarity. Now in terms of antidumping, there is a discussion of the Brazilian industry. And of course, this is of the utmost importance. There has been a predatory situation. Now regarding antidumping, this week, there was a discussion of the government introducing a lower tariff that would have an impact on the automobile industry that represents an important part of the demand for Brazilian steel. I don't know if you can pressure the government if you're part of that discussion, if it's important for you, which is your vision in this antidumping situation, if there are other ways of going around this problem. And finally, you speak about deleveraging. You have spoken broadly about investments that trend of having a 3x net debt EBITDA until the end of the year. I would like to gain an understanding for the medium term. You have a disinvestment of focus on deleveraging. How could we imagine that deleveraging for the coming year, which will be the path that it will follow and where it should stand in mid-2026. These are my questions.
Unidentified Company Representative: Gabriel, thank you for your comments and questions. I'm going to refer to Usiminas. Of course, there's an agreement with CADE, the antitrust agency. There's also a certain level of confidentiality at the level of justice. Now this sale that was done now is a very important, relevant and material part of our compliance with the agreement with CADE, but it doesn't refer exclusively to them. It's an incredibly important step in our commitment with the antitrust agency. Now regarding deleveraging, besides the infrastructure and logistics that we spoke about at length, we have improvements in our operational results that will deleverage the company in all segments. Logistics is growing considerably with record results at present, not only because of the acquisition of Tora, but because of the results of its other assets. Well, cement, the steel plant with all of the investments, 2 digits with EBITDA margin growing going forward and mining, which is also part of our project, the P15, generating BRL 4.4 billion in EBITDA and relevantly helping us to deleverage the group. Besides this, we have the sale of assets. So besides the infrastructure in the coming months, we will have other novelties for the market. Now in the long term, the company always wants to work with a leverage of 2x or below 2x net debt EBITDA. We would like to go back to being investment grade. But this doesn't depend exclusively on the company. It depends on the market and the sovereign rating of Brazil. We've already given you guidance of this year being below 3.0x. And going forward, we want that guidance of the year to remain stable. The market should perceive that all of the enhancements in results that we will -- well, the projects we will deliver in 2027 depend on the investments we are making. We're going to balance out good investments and a reduction in leveraging. This is a daily exercise for the company. So in 2026, the year you mentioned, the leverage should be around 3.0x. This is a challenge for the company.
Luis Fernando Barbosa Martinez: Gabriel, this is Martinez. Once again, thank you for the question. I'm going to speak about another side of the commercial defense issue from the viewpoint of commercial defense, practically everything that could be done in Brazil in terms of instruments have been done. In the specific case of CSN, we focus a great deal on antidumping. We have been working on this for 1.5 years and the Ministry of Industry itself has received us very well. The Vice President Alckmin has lent years to everything we say. He loves the process, but we don't see any results. 1.5 years to discuss this is much too long. First of all, we need to have courage to make the decision to implement what the ministry should do in technical terms to set forth margins. They have to have courage. As Benjamin mentioned, this is something connected to the President of the Republic. And in terms of the third point, the government needs to focus more on the industry. This is a sector that has been left aside in Brazil in the last 2 years. So there's an important focus for industry. We're not speaking of direct imports. There's also direct imports coming to Brazil in terms of products. And this makes the production chain rather uncompetitive compared to other countries in the automobile industry, an interesting fact. They have no imports practically. The level of services, the quality we have delivered to assembly plants in Brazil so far has been sufficient to compete in the domestic market. The problem is that the competition with the Chinese is unloyal competition, completely disorganized and the government has to work towards a balance between imports and competitiveness of the automobile chains. This is the problem. Not having protection, having isonomy and something more reasonable so that the Brazilian industry can enhance its competitivity vis-a-vis other industries in the world.
Operator: As we have no further questions, I will return the floor to Mr. Marco Rabello for the closing remarks.
Antonio Marco Campos Rabello: I would like to thank all of the members of the CSN Group who have contributed to our deliveries. I thank all of you for attending our earnings call. At this point, we would like to end the call, wishing all of you a very good weekend.
Operator: Thank you. The earnings call for CSN ends here. We would like to thank all of you for your attendance. Have a very good afternoon. [Statements in English on this transcript were spoken by an interpreter present on the live call.]